Operator: Good morning, everyone, and welcome to the New Mountain Finance Corporation’s Third Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would like now to turn the conference over to John Kline, President and CEO. Please go ahead.
John Kline: Thank you, and good morning, everyone. Welcome to New Mountain Finance Corporation’s third quarter 2023 earnings call. On the line, here with me today are Steve Klinsky, Chairman of NMFC and CEO of New Mountain Capital; and Laura Holson, COO and Interim CFO of NMFC. Steve is going to make some introductory remarks. But before he does, I’d like to ask Laura to make some important statements regarding today’s call.
Laura Holson: Thanks, John. Good morning, everyone. Before we get into the presentation, I would like to advise everyone that today’s call and webcast are being recorded. Please note that they are the property of New Mountain Finance Corporation and that any unauthorized broadcast in any form is strictly prohibited. Information about the audio replay of this call is available in our November 2nd earnings press release. I would also like to call your attention to the customary safe harbor disclosure in our press release and on Page 2 of the slide presentation regarding forward-looking statements. Today’s conference call and webcast may include forward-looking statements and projections, and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from those statements and projections. We do not undertake to update our forward-looking statements or projections unless required to by law. To obtain copies of our latest SEC filings and to access the slide presentation that we will be referencing throughout this call, please visit our website at www.newmountainfinance.com. At this time, I would like to turn the call over to Steve Klinsky, NMFC’s Chairman, who will give some highlights beginning on Page 5 of the slide presentation. Steve?
Steve Klinsky: Thanks, Laura. It’s great to be able to address you all today, both as NMFC’s Chairman and as a major fellow shareholder. Adjusted net investment income for the third quarter was $0.40 per share, more than covering our $0.32 per share regular dividend that was paid in cash on September 29. Our earnings increased by $0.08, compared to Q3 of last year and $0.01 sequentially over Q2 of this year. Our net asset value per share decreased slightly to $13.06, an $0.08 decline compared to last quarter, demonstrating continued stable credit performance across our portfolio. We believe our loans are well positioned overall in defensive growth industries that we think are right in all times, and particularly attractive in less certain economic times. New Mountain’s private equity funds have never had a bankruptcy or missed an interest payment, and the firm now manages over $45 billion of assets. Similarly, as shown on Page 14 of this presentation, since inception over 12 years ago, NMFC has experienced net gains across all of its realized credit investments with only $89 million of unrealized depreciation on our books as of the end of Q3. The higher rate environment continues to be a substantial positive for our quarterly earnings. We expect to continue to significantly outperform our $0.32 per share regular dividend at current interest rates if all other factors hold constant. Given our earnings of $0.40 per share this quarter, we will make our third consecutive variable supplemental dividend payment. The variable supplemental dividend for this quarter will be $0.04 per share, which is equal to half of the amount of our Q3 quarterly earnings in excess of our regular dividend of $0.32. This additional $0.04 dividend will raise the total dividend to $0.36 per share all in for this quarter, which is at the high end of our previous guidance. NMFC will pay these distributions on December 29 to holders of record as of December 15. The remainder of the excess earnings will remain on our balance sheet and may be paid out in the future. Our dividend at $0.36 represents an annualized current dividend yield of just under 12%. Looking forward to Q4 in addition to our $0.32 regular dividend, we expect to generate a variable supplemental dividend of $0.03 to $0.04 per share payable in the first quarter of 2024. This incremental payout is supported by expected strong credit performance and continued elevated base rates. We believe the strength of New Mountain and of NMFC is driven by the quality of our team. New Mountain overall now numbers 250 members, and the firm has developed specialties in attractive defensive growth that is acyclical growth sectors such as life science supplies, healthcare, information technology, software, infrastructure services and digital engineering. When pursuing our credit investing efforts, we utilize our extensive group of industry experts to provide unique knowledge and expertise that allows us to make very informed, high conviction underwriting decisions. Over the last nine months, we have continued to expand the quality of our overall team. Finally, we as management continue as major shareholders of NMFC. Senior management and employee share ownership has been rising over time and we now own approximately 13% of NMFC’s total shares personally. With that, let me turn the call to John.
John Kline: Thank you, Steve. Good morning, again, everyone. I would like to offer some more details on our direct lending investment strategy and track record. Starting on Page 8, we highlight our disciplined industry selection, which shows exposure to a diversified list of defensive noncyclical sectors. These sectors and industry niches are characterized by durable growth drivers, predictable revenue streams, margin stability, and great free cash flow conversion. We have successfully avoided cyclical, volatile and secularly challenged industries, which could be riskier areas to invest in today’s higher rate environment. Our strategy has been consistent over our 12 plus years as a public company, and it allows us to operate with confidence in any economic environment. Page 9 provides a high-level snapshot of our business, where we show a long-term track record of delivering consistent enhanced yield by avoiding losses and distributing virtually all of our excess income to shareholders. Since our IPO in 2011, NMFC has returned over $1.1 billion to shareholders through our dividend program, generating an annualized return of approximately 10%. Our current portfolio is exposed to companies in good industries that are performing well and where our last dollar of risk is approximately 40% of the purchase price paid for the business. We lend primarily to businesses owned by financial sponsors who are sophisticated and supportive owners with significant capital that is junior to the loans that we make. Turning to Page 10. The internal risk ratings of our portfolio were relatively stable quarter-over-quarter with approximately 93% of our portfolio rated green. Our most challenged names within the orange and red categories represent only approximately 2% of NMFC’s fair value, and we have derisked our book by marking our red names to 11% of face value and our orange names to 68% of face value. At these valuation levels, our weaker names do not represent material future downside risk to our book value. The updated heatmap is shown in its entirety on Page 11. Given our portfolio’s orientation towards defensive sectors like software, business services and healthcare, we believe our assets are well positioned to continue to perform no matter how the economic landscape develops. We did have two names representing only 1% of total fair value migrate negatively this quarter. Both companies are experiencing short-term operational headwinds, but we remain optimistic about the long-term value proposition and prospects for a full recovery on our first lien positions. On the positive side, we are pleased to report that EaglePicher second lien, which was previously a yellow name marked at $0.70, was moved to green during the quarter and subsequently repaid at par in October. Overall, as we reflect on the prospects of our yellow names, we are optimistic that we may have more positive outcomes like this one in the future. Turning to Page 12. We provide a graphical analysis of NAV changes during the quarter. Starting on the left, credit specific movements represented a $0.20 decrease in book value, driven by relatively minor equity markdowns, reflecting the more challenged valuation environment for midcap companies. Broad credit market movements were an $0.08 book value tailwind as credit spreads tightened during Q3 due to the modest new issue supply. And as Steve mentioned earlier, we overearned the regular and supplemental dividends by $0.04 per share, which accrued to our book value. Combined, these changes netted to an $0.08 decline in book value for the quarter. It is important to note that if we were to value all of our green rated loans at par and continue to value the balance of the portfolio at current fair value. Our book value would be $13.50, compared to our actual NAV of $13.06 at 9/30. Page 13 addresses NMFC’s non-accrual performance. On the left side of the page, we show the current state of the portfolio where we have $3.1 billion of investments at fair value with $48 million or 1.5% of the portfolio currently on non-accrual. The number of companies on non-accrual decreased this quarter as we moved Integro second lien back to accrual status due to our increased conviction of a full recovery in the next 12 months. Of the names that remain on non-accrual, most are from older vintages, have been written down materially, and have a good chance of exiting the portfolio in the medium term. On the right side of the page, we show our cumulative credit performance since IPO, where MFC has made $9.2 billion of investments and achieved net gains on all realized positions of $15 million. This is consistent with our value proposition of preserving principal value and distributing nearly all of our net investment income through predictable quarterly dividends. On Page 14, we present NMFC's overall economic performance since IPO, showing that we have delivered consistent and compelling returns. Cumulatively, NMFC has earned $1.2 billion in net investment income, while generating $15 million of cumulative net realized gains and only $89 million of net unrealized depreciation, netting to over $1.1 billion of value created for our shareholders. Page 15 shows a stock chart detailing NMFC's equity returns since IPO. Over this period, NMFC has generated a compound annual return of approximately 10%, which represents a very strong cash flow-oriented return well in excess of both the high-yield index and an index of BDC peers who have been public at least as long as we have. I will now turn the call over to our Chief Operating Officer and Interim Chief Financial Officer, Laura Holson, to discuss our current portfolio construction and financial results.
Laura Holson: Thanks, John. We continue to believe the outlook for the rest of 2023 and 2024 in the sponsor-backed direct lending market is positive. Deal flow continues to be down overall, as valuation expectations reset in the world of higher base rates, but there are pockets of activity in our defensive growth verticals where we have the opportunity to make loans at attractive yields while remaining very selective. Yield structures remain compelling, with leverage levels meaningfully below peak levels and significant sponsor equity contributions representing the vast majority of the capital structures. We remain bullish on the medium- and long-term outlook for M&A, given the magnitude of dry powder for private equity and the ongoing need to return capital to LPs as well as the general maturity wall-facing borrowers. We saw a bit of a flurry of deal activity post Labor Day, including some opportunistic issuance but it continues to be episodic at the moment. Given our large portfolio of over 100 unique borrowers, we continue to see good opportunities to make incremental loans to existing well-performing portfolio companies seeking to pursue accretive M&A. Despite lower overall deal volume, the direct lending market remains the primary market for sponsors, while the syndicated market has reopened, it is practically only open for select issuers with higher ratings. Ongoing market volatility continues to push borrowers toward the more certain execution of a direct lending deal. Page 17 presents an interest rate analysis that provides insight into the positive effect of increasing base rates on NMFC's earnings. As a reminder, the NMFC loan portfolio is 88% floating rate and 12% fixed rate, while our liabilities are 50% fixed rate and 50% floating rate. Moving on to Page 18. In Q3, we continued our focus on modest deleveraging towards the middle of our 1time to 1.25 times debt-to-equity range. As a result, outside of some modest DDTL draws, we actually experienced net repayment activity, as several borrowers repaid due to re-financings or M&A. I'd highlight that two of the repayments were second lien positions, whereby strong performance enables both companies to take out the second lien with incremental first lien. Given the high base rate environment, the impact of minor deleveraging has not impeded our ability to significantly outearn our regular dividend. As I discussed in the market overview, we continue to see compelling opportunities, and post quarter end have received a few additional repayments that should provide some available capital for deployment into our highest conviction deals. In addition to the $10.8 million EaglePicher repayment that John mentioned, we also received a post-quarter end repayment of our $67.5 million position in PhyNet, a dermatology practice management business. Turning to Page 19. We show that our asset mix is consistent with prior quarters where about two-thirds of our investments, inclusive of first lien, SLPs and net lease are senior in nature. Approximately 8% of the portfolio is comprised of our equity positions, the largest of which are shown on the right side of the page. As mentioned in prior quarters, we hope to monetize certain of these equity positions in the medium term and rotate those dollars into cash-yielding assets. Our net lease portfolio, while only 4% of the portfolio continues to be a strong performer, and we thought it was worth a brief refresher on our strategy. We enter into sale-leaseback transactions for operationally critical properties with creditworthy tenants in our core defensive growth verticals. We like the longer duration nature of the asset class, the annual rent escalators as well as the downside protection associated with owning the physical real estate. We've generated $41 million of realized gains to date in the strategy and a weighted average cash yield of approximately 11%. Page 20 shows the current portfolio at a glance. We own 70 operationally essential and geographically diversified properties, including manufacturing facilities, pharmaceutical manufacturing and packaging facilities and warehouses that are leased to 13 tenants. We have no office or retail exposure. Page 21 shows that the average yield of NMFC's portfolio has increased from 11.6% in Q2 to 11.8% for Q3, primarily due to the higher for longer shift in the base rate curve. Generally speaking, spreads remain attractive and support our net investment income target. Page 22 highlights the scale and credit trends of our underlying borrowers. As you can see, the weighted average EBITDA of our borrowers has increased over the last several quarters to $147 million. While we first and foremost concentrate on how an opportunity maps against our defensive growth criteria and internal new knowledge, we believe that larger borrowers tend to be marginally safer, all else equal. We also show the relevant leverage and interest coverage stats across the portfolio. Portfolio company leverage has been consistent over the last several quarters. Loan to values continue to be quite compelling, and the current portfolio has an average loan to value of 42%. From an interest coverage perspective, we've continued to see modest compression as base rates rise. The weighted average interest coverage on the portfolio declined slightly to 1.5 times from 1.6 times last quarter. We expect interest coverage ratios to stabilize, and note that we've seen sponsors continue to proactively support company liquidity and continued M&A activity. This is a great indication that our portfolio consists of companies that are performing well and that are able to attract additional investment and healthy valuations. Finally, as illustrated on Page 23, we have a diversified portfolio across 110 portfolio companies. The Top 15 investments inclusive of our SLP funds and net lease account for about 42% of total fair value and represents our highest conviction names. I will now cover our financial results. For more details, please refer to our quarterly report on Form 10-Q that was filed yesterday with the SEC. As shown on Slide 24, the portfolio had approximately $3.1 billion in investments at fair value on September 30th and total assets of $3.3 billion, with total liabilities of $2 billion, of which total statutory debt outstanding was $1.6 billion; excluding $300 million of drawn SBA-guaranteed debentures. Net asset value of $1.3 billion or $13.06 per share was down slightly compared to the prior quarter. At quarter end, our statutory debt-to-equity ratio was 1.21 times to 1 and 1.16 times net of available cash on the balance sheet, consistent with the balance sheet deleveraging I mentioned previously. On Slide 25, we show our quarterly income statement results. For the current quarter, we earned total investment income of $94.1 million, a 20% increase over prior year. Total net expenses were approximately $53.7 million, an 18% increase over prior year. As a reminder, the investment adviser has committed to a management fee of 1.25% for the 2023 and 2024 calendar years. The investment adviser has also pledged to reduce this incentive fee, if and as needed, during this period to fully support the $0.32 per share regular quarterly dividend. It is important to note that the investment adviser cannot recoup fees previously waived. Our adjusted NII for the quarter was $0.40 per weighted average share, which meaningfully exceeded our Q3 regular dividend of $0.32 per share. As Slide 26 demonstrates, 99% of our total investment income is recurring this quarter, given the minimal fees earned in Q3. You will see historically that over 90% of our quarterly income is recurring in nature and on average; over 80% of our income is regularly paid in cash. We believe this consistency shows the stability and predictability of our investment income. Importantly, over 99% of our quarterly noncash income is generated from our green rated names. Turning to Slide 27. The red line shows the coverage of our regular dividend. This quarter, adjusted NII exceeded our Q3 regular dividend by $0.08 per share. For Q4 2023, our Board of Directors has again declared a regular dividend of $0.32 per share as well as a supplemental dividend of $0.04 per share. On Slide 28, we highlight our various financing sources and diversified leverage profile. Taking into account SBA guaranteed debentures, we had $2.2 billion of total borrowing capacity at quarter end, with $313 million available on our revolving lines subject to borrowing base limitations. We have a valuable mix of fixed and floating rate debt, and the 50% of fixed rate debt continues to be an earnings tailwind. As a reminder, covenants under both of our Wells Fargo and Deutsche Bank credit facilities are generally tied to the operating performance of the underlying businesses that we lend to, rather than the marks of our investments at any given time, which we think is particularly important during more volatile times. Finally, on Slide 29, we show our leverage maturity schedule. As we've diversified our debt issuance, we've been successful at laddering our maturities to manage liquidity. Post quarter end, we have successfully amended both of our Wells Fargo and Deutsche Bank credit facilities to extend maturities to 2028 and 2027, respectively. We additionally upsized and extended our management company revolver maturity to 2027. Pro forma for that, over 60% of our debt matures in or after 2027. Our multiple investment-grade credit ratings provide us access to various unsecured debt markets that we continue to explore to further ladder our maturities in the most cost-efficient manner. With that, I would like to turn the call back over to John.
John Kline: Thank you, Laura. As we look out over the balance of 2023, we remain confident in the quality of our investment portfolio, and believe we are on track to continue to deliver great risk-adjusted returns for our shareholders. We once again thank you for your support and look forward to maintaining an open and transparent dialogue with all of our stakeholders. I will now turn things back to the operator to begin Q&A. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Finian O'Shea from Wells Fargo. Finian, please go ahead.
Finian O’Shea: Thanks. Hey everyone. Good morning.
Laura Holson: Good morning.
Finian O’Shea: How are you? Can you expand on the adviser revolver upsize post quarter? And how might that play into the remaking of your capital structure if applicable? Thank you.
Laura Holson: Sure. Yes. So post quarter end, we upsized our management company revolver from $50 million to $100 million and also extended maturity three years to December 2027 from December 2024. And it still remains a relatively small portion of our overall liability stack, but we do think it's an important signal from just the commitment from the investment adviser, but also just generally help support liquidity. We've historically not ever drawn on this facility. But again, it's good to have is just incremental liquidity. And it was just part of, I would say, a series of things that we did on the liability side post quarter end to try to just push out maturities, which continues to be a big focus for us.
Finian O’Shea: Right. That's helpful. And just to drill down and touch more, as you pointed out, you don't really use it. So does the upsize indicate that you might use it? Or is it more of a show of support to – for your other lending facilities that this is a sort of supplement to liquidity you might need?
John Kline: I view this somewhat as a show of force. I mean we have really strong relationships with all of our key providers. And as Laura said, we extended many of those facilities just recently. And as we get bigger and as we're in an uncertain environment, why wouldn't we try to maximize liquidity with all available tools that we have. So as Laura said, we don't expect to use it, but we just really want to show every avenue for liquidity and balance sheet strength that we could and the manager was more than happy to do that.
Finian O’Shea: Okay. Great. Thank you. And just a follow-up, you touched on the fee waiver in your commentary. I know that was the last quarter event, the extension, but we've seen more BDCs are going that way to sort of the 1.25 base fee rate. So are your discussions leaning to keep it that way at the end of 2024? And if so, why not sort of permanize it so people can, of course, model it with more confidence long-term and give you that credit? Just any – understanding this is still a private matter more or less, but just color on how you're thinking about it would be helpful? Thank you.
John Kline: Sure. I think I hope – I think with a lot of investors, we do get credit for being at 1.25. We've been there for a while. We've extended it eight quarters. And I think it's fair to say that it is a topic of discussion. But when I think about our base management fee, I know there's been some activity on base management fees around the industry. I think we're still top quartile when you look at the base management fee. So we do feel good about where we're at – where we're at. We do have a track record of being shareholder friendly. We've been at 1.25 for a while. That said we're always going to maintain dialogue with our Adviser and our Board just around that fee and other aspects to our management agreement.
Finian O’Shea: Thanks so much.
Operator: And our next question comes from Bryce Rowe from B. Riley. Bryce, please go ahead. 
Bryce Rowe: Thanks a lot. Good morning.
John Kline: Good morning, Bryce.
Bryce Rowe: Hey, John. Let's see, I wanted to maybe start on some of the origination activity and how it plays into repayment activity and how it plays into the balance sheet leverage. We talked about this last quarter, but it feels like you're taking a slightly more conservative approach in terms of balance sheet leverage, and we've seen it come down for a couple of quarters in a row now. You just highlighted some repayment activity here subsequent to third quarter, and, so I guess the question is, do you think we'll see that trend continue in terms of balance sheet leverage kind of working lower? And then as far as the activity for the third quarter, relatively muted origination activity, is that kind of work with this whole discussion around leverage? Or is it more just kind of a view of the macro environment and what you're seeing in terms of investment opportunities?
Laura Holson: Sure. I'm happy to cover that. So in terms of just the deleveraging and kind of where we are. So we do have – we continue to have our stated range of 1 time to 1.25 times and is where we're comfortable operating within that range from a leverage perspective. But as we tried to highlight, I think we are focused on trying to get more to the middle of that range because I think there had been several quarters in a row where we had been at the very high end of that range. And so just given the macro environment we’re in, we thought it made sense to kind of come down a little bit more towards the middle of the range. So that is what is reflected in our Q3 results here. I think it’s obviously hard to predict. It does bounce around a little bit depending on kind of repayments that we get. But I think the repayments that we received after quarter end, I think we’re comfortable redeploying those proceeds and continuing to operate kind of more in the middle of the leverage range. So in terms of the Q3 originations, they definitely were more muted. As I said, that was intentional. I don’t think it’s necessarily reflective of the overall market, as we have been continued to be active and see good opportunities in some other pockets of capital that we have. But we did want to make that conscious decision to get a little bit more conservative from a leverage profile for NMFC. But as I said, kind of in the market commentary, we do continue to see some good opportunities. It’s not as fast and furious as it might have been a couple of years ago, but we are still seeing some. And so I do think we’ll be able to redeploy some of those repayments that we received post quarter end into some attractive opportunities.
Bryce Rowe: That’s good stuff. Thanks, Laura. Then one more for me. John, I think you highlighted the yellow rated name getting repaid at par up from a mark around $0.70, and you made the comment that there were prospects for possibly more yellow rated names following that same path. Can you maybe speak to that in a little bit more detail?
John Kline: Sure. And I don’t have any specific yellow names. As I’m looking at the list of yellow names, I don’t have any specific names that I know we’re going to repay. But in general, I wanted to make the point that just because a name is yellow doesn’t mean that it can’t go back to green. It doesn’t mean that it’s on a one-way trip to red. And when we look at our yellow names, we do see names on that list that we do have some pretty good optimism around. They’re not yet performing in the way we want them to perform. But as I mentioned, I think there’s a good chance that we could see some good outcomes. So every time a yellow gets repaid, we’re very excited. And particularly a yellow that we had marked at a fair value of $0.70 [ph] when that gets repaid at par, even though it was a small position, it does feel very good.
Bryce Rowe: Absolutely. It’s a great outcome. All right. That’s all I had. Thank you so much.
Operator: [Operator Instructions] And we have a question now from Paul Johnson from KBW. Paul, you may proceed.
Paul Johnson: Yes, thanks for taking my questions this morning. I only have a few on the mark for Edmentum this quarter is down $0.13 or so on the slide you guys gave, what drove the mark lower was that just comp valuations or anything specific with the business?
Laura Holson: Yes. No, Edmentum overall continues to be a good performer for us, right, particularly when you think about just the history of that business. And so I would say the markdown this quarter is a little bit more consistent with just the overall M&A environment that we’re in, where valuations, we think, have come down for some of the – for some industries. And so we are just kind of taking it down in sympathy a little bit with that, just as we look to fair value all of our positions every quarter.
Paul Johnson: Got it. Thanks. And then just for the SLPs, for all the joint ventures I mean as far as kind of future quarters go, I know income has been obviously growing from those investments, but is this a good around 8.6 million or so is kind of what I have for third quarter. Is that a decent run rate from what you think you’d be getting off the JVs? Or is there any sort of one time stuff in there that you expect it to be slightly lower?
Laura Holson: Yes, there’s no massive one-time items. Obviously, we’ve seen good benefit from the SLPs in particular, just the benefit of the rising rate environment given all those underlying assets are floating rate. But as rates start to stabilize, it seems a little bit. I do think that’s a reasonably good estimate. All the JV SLPs and also net lease, they do move around a little bit, just naturally quarter-over-quarter, but I think it’s a relatively good indication.
John Kline: One thing that’s been going on in the LLF [ph] JVs is because those are first lien syndicated loan assets. Over the course of the year, we have been able to trade out of lower spread names and buy higher spread names at similar dollar price. And that’s been very helpful in driving better yield. So we feel very good about what we’re doing in that fund and we continue to see good opportunities to enhance the yield of portfolio without taking increased credit risk. So these are exciting little mini funds within NMFC.
Paul Johnson: Got it. Thanks for that. That’s all the questions for me.
Operator: And this concludes our question-and-answer session. I’d like to turn the conference over to John Kline.
John Kline: Great. Well, thanks everyone for joining our third quarter earnings conference call and we look forward to speaking with you next year. Thank you.
Operator: The conference has now concluded. Thank you so much for attending today’s presentation. You may now disconnect.